Operator: Good morning. My name is Candice and I will be your conference operator today. At this time, I would like to welcome everyone to the Franco-Nevada Corporation First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Stefan Axell, you may begin your conference.
Stefan Axell: Thank you Candice. Good morning, everyone. I want to thank you for joining us today to discuss Franco-Nevada's Q1 2016 results, which we anticipate will be a relatively brief call. Accompanying our call today is a presentation which is available on our website at Franco-Nevada.com, where you’ll also find our full financial results. Sandip Rana, CFO of Franco-Nevada will provide a brief review of our results which will be followed Q&A period. Before we begin formal remarks, we'd like to remind participants that some of today's commentary may contain forward looking information, and refer you to a detailed cautionary note on Slide 2 of our presentation. I'll now turn the call over to Sandip Rana, CFO of Franco-Nevada.
Sandip Rana: Thank you Stefan. Good morning everyone, thank you for joining us this morning. As Stefan mentioned I’ll be providing further detail on the financial results for the quarter. As you all of seen from the press release issued yesterday that company had another strong quarter. This is estimate to the quality and strength of our portfolio and overall success of our business model. It continues to deliver growth and generate significant cash flow. As a result, we are increasing our dividend by approximately 5% to $0.22 per share effective with our second quarter dividend payments. This is the ninth dividend increase since our IPO and on an annualized basis Franco-Nevada will be paying in excess of $150 million in dividends, making it one of the highest dividend payers within the gold sector. With respect to our financial results, first quarter 2016 was a quarter of records. The company recorded its highest amount in GEOs, revenue and adjusted EBITDA this quarter, this despite a continued lower commodity pricing environment. I would like to speak a few highlights for the quarter. The company received our first gold and silver ounces from our most recent acquisition the precious metals stream Antapaccay. The deliveries for the quarter were approximately 8,900 GEOs. We look forward to benefitting from a fourth quarter deliveries from this asset in second quarter, as we only received two months of deliveries in first quarter. Also during the quarter, the company received a second delivery of silver ounce from Antamina, a deal we completed in fourth quarter 2015. Antamina deliveries were approximately 1.4 million silver ounces to the company. And lastly, we received the first delivery in March from our Karma stream, this is a stream on Karma project in Burkina Faso, which is now owned and operated by Endeavour Mining, previously True Gold. We will be delivered 1,250 gold ounces per month going forward. Turning to Slide 3, the chart illustrates the GEO breakdown like commodity for the last five quarters. You can see that GEOs in totals have increased over 25% compared to first quarter of 2015. The gold component has remained fairly stable with silver increasing during the quarter due to the Antamina and Antapaccay deliveries. Slide 4 provides a breakdown of where the GEO growth rose when compared to first quarter 2015. Our core gold assets did produce less yields during the quarter, which was mainly due to the timing of production and recognition of revenue by the company. The PGM assets delivered last GEOs but this is more to the impact pricing when converting platinum and palladium ounces to GEOs. The actual production at the mines for platinum, palladium, was fairly stable year-over-year. Our gold NPI delivered more ounces due to lower cost with foreign exchange benefiting our Canadian interest. And as you can see the largest component of growth has been the acquisitions. This significant growth represents Antapaccay, Antamina and Karma to which I spoke to previously. As you turn to Slide 5 you will see two charts on the page. The first chart highlights the average gold price and precious metal revenue for each of the last five quarters. For first quarter of 2016 the gold price averaged $1,181 per ounce, which was lower than the Q1 2015 average price of $1,219 per ounce. Gold was not alone when it came to volatility. Platinum, palladium also pulled back significantly versus prior year. However despite the continued depressed commodity prices the company did generate a significant increase in precious metals revenue during the quarter. On the bottom chart we have highlighted our oil and gas net revenue and as you can see that as oil price have declined so too has our revenue. Production at our royalty and working interest assets has remained stable with the decrease in revenue being largely due to the lower oil price. With respect to our revenues 95% is driven by oil with 5% coming from natural gas. As you turn to Slide 6, you'll see the key financial results for the company for the three months ended March 31, 2016. I will not get into the specifics, but what I would like to point out is that we have year-over-year increases for all the financial metrics across the board with the new records highlighted by the boxes. Slide 7 provides a waterfall chart illustrating the increase in adjusted net income from Q1, 2015 to Q1, 2016. The key movements year-over-year are on the cost side with the addition of Antamina and Antapaccay, we had an increase in depletion expense during the quarter. It is important to note that as mineral reserves and resources are added at these assets or any one of our other properties the depletion cost per ounce will decrease. Also on the cost side, cost of sales did increase as the company received more stream ounces resulting in a higher stream out purchase cost. We pay a per ounce purchase price when stream ounces are delivered to us which is recorded in cost of sales. These cost increases were more than offset by the increase in revenue of $22.8 million. The net result was an increase in adjusted net income from 22.9 million or $0.15 per share in Q1, 2015 to 28 million or $0.17 per share in Q1, 2016. As you turn to Slide 8, the geographic revenue profile continues to be lower risk with 82% of revenue being from the Americas, with Latin America being the largest contributor. One of our core goals that we highlight is for our precious metals revenue to be greater than 80% of total revenue. For first quarter 2016, 95% of revenue was generated from precious metals. The company remains diverse with 43 revenue generating mineral assets currently. We continue to scratch the scalability of our business model and believe Slide 9 highlights this. Our overall costs have increased over the last few years, the increase being due to the addition of streams to our business, but these are variable costs. Stream costs will continue to increase as the company is delivered more stream ounces, which we consider a positive. This has been the case in the first quarter with the addition of Antapaccay. What I believe is important to highlight on this slide is the fixed costs. These are company's corporate administration costs and as you can see they've remained fairly constant each year regardless of revenue increasing. Corporate administration costs continue to be less than 5% of revenue and for first quarter 2016 we're slightly below 5% of adjusted EBITDA. As illustrated on the chart the company continues to maintain a very strong margin which is greater than 78% for Q1 2016. Unlike the operators our mineral business is not currently affected by operating and capital costs escalation. Slide 10 highlights the capital available to the company with the working capital, marketable securities and undrawn credit facility the company has in excess of $1.3 billion in available capital. You will recall that we did drive down on our credit facility in fourth quarter 2015 to partially fund the Antamina transaction and our first funding for Cobre Panama. At December 31, 2015 we did had debt of $460 million, this has been repaid and the company carries no debt at this time. In terms of commitments the company expects to fund a $130 million to $150 million for Cobre Panama for the year, with 30 million to 35 million expected in second quarter. And with that we would be happy to take questions. Our entire management team from our various offices around the world; the United States, Australia, Barbados are here in Toronto for management meetings. We're all available to answer questions. And with that I would like to turn it back over to Candice.
Operator: [Operator Instructions] And your first question comes from Josh Wolfson from Dundee Capital Markets. Your line is now open.
Josh Wolfson: Just two quick questions, for Cobre could you disclose what was paid in the first quarter for CapEx?
Sandip Rana: There was no payment paid from Franco-Nevada in first quarter. Our first payment this year will be done shortly with 30 million to 35 million expected for second quarter.
Josh Wolfson: And then in terms of the balance, it's going to be I guess pretty heavily weighted for third and fourth quarter or is there going to be sort of a catch up style payment at the end of the year like we saw last year, which I guess was a different item?
Sandip Rana: Yes, we would expect higher payments in third and fourth quarter this year.
Josh Wolfson: And then on the table disclosed I guess all of the streams there was a comment about the terms of those largely being about 40 years and I guess subject to successive expansion, would you be able to provide more details on what that really means, if these are finite or perpetual stream agreements?
Sandip Rana: The typical stream agreements are 40 years, fix term and then it was extension which there was conditions for and they are usually 10 to 20 years extension at a time.
Josh Wolfson: Okay and those extensions, are they -- what are the condition generally associated with them or is it assets typically?
Paul Brink: It's Paul Brink here, so most of those are at the option of the streamer. So if the asset is still operating we have the option to extend the stream.
Josh Wolfson: Okay that’s it for me. Thank you very much.
Operator: [Operator Instruction] And we have no further questions at this time. I’ll turn the call -- I am sorry we do have one more question from Chris Terry with Deutsche Bank. Your line is now open.
Chris Terry: Couple of questions from me, just on Antapaccay, is the second quarter, can we expect three-four months of sale or is there still some type of catch up there?
Paul Brink: No the way that transaction was just because of the timing and when we did it. The first -- we really going to get paid for January in February and then -- so there is that one month delay. So we’ve had that initial month delay and now for every quarter we’ll get three months’ worth of payment.
Chris Terry: Okay, it makes sense. And then just big picture on the overall environment for looking at investments obviously you’re reiterating the 80% exposure to pressures, but any views on oil and gas versus PGM versus gold versus silver?
David Harquail: Right now, it's David Harquail here. Its opportunity rich environment, our focus has been on gold transactions because we find those in the most motivated parties with gold assets for us to transact on. By the same time we’ve had a separate team, very active in bidding oil and gas assets. We have put in bids already in the number of assets in Western Canada. We’ve just been unsuccessful, I think other people have been more optimistic in terms of oil prices decks than ourselves. We continue to -- intend to continue bid oil and gas assets. But there is nothing, I would say that large in the immediate future right now for Franco on oil and gas side or other commodities. I think most of our opportunities are still in precious metals.
Chris Terry: Okay thanks so much.
Operator: And there are no further questions at this time. I’ll turn the call back to the presenters.
Stefan Axell: Thank you Candice. I want to remind people that we expect to release our Q2 results on August 8th, with a conference call held the following morning and I want to thank you for your interest in Franco-Nevada.
Operator: And this concludes today's conference call. You may now disconnect.